Operator: Hello, and welcome to the International Seaways' Fourth Quarter and Full-Year 2021 Results. My name is Katie, and I will be coordinating your call today. [Operator Instructions] I will now hand over to your host, James Small, General Counsel to begin. James, please go ahead.
James Small: Thank you. Good morning, everyone, and welcome to International Seaways' earnings release conference call for the fourth quarter and fiscal year 2021. Before we begin, I would like to start off by advising everyone with us on the call today of the following. During this call, management may make forward-looking statements regarding the company or the industry in which it operates. Those statements may include, without limitation, the following topics: Outlooks for the crude and product tanker markets; changes in oil trading patterns; forecasts of world and regional economic activity and of the demand for and production of oil and other petroleum products; the effects of the ongoing coronavirus pandemic; the company's strategy; the anticipated cost savings and other synergies and benefits from our merger with Diamond S; any plans to issue dividends; our prospects; purchases and sales of vessels; construction of new-build vessels and other investments; anticipated and recent financing transactions; expectations regarding revenues and expenses including vessel charter hire and G&A expenses; estimated bookings and TCE rates for periods in 2022; estimated capital expenditures for periods in 2022; projected scheduled drydock and off-hire days; the company's consideration of strategic alternatives; the company's ability to achieve its financing and other objectives; and other economic, political and regulatory developments around the world. Any such forward-looking statements take into account various assumptions made by management based on a number of factors, including management's experience and perception of historical trends, current conditions, expected and future developments, and other factors that management believes are appropriate to consider in the circumstances. Forward-looking statements are subject to risks, uncertainties, and assumptions, many of which are beyond the company's control, which cause actual results to differ materially from those implied or expressed by the statements. Factors, risks, and uncertainties that could cause International Seaways' actual results to differ from expectations include those described in our forthcoming annual report on Form 10-K, and in other filings that we have made, or in the future may make, with the U.S. Securities and Exchange Commission. Now, let me to turn the call over to our President and Chief Executive Officer, Ms. Lois Zabrocky. Lois?
Lois Zabrocky: Thank you very much, James. Good morning, everyone. Thank you for joining International Seaways' earnings call to discuss our fourth quarter and our full-year 2021 results. As we hold this call this morning, Russia continues its invasion into the Ukraine. All of those affected by the violence, and all of those in danger's way are in our thoughts this morning. Turning to Seaways' results, 2021 was a pivotal year for International Seaways. As we strengthened our market position, we enhanced our ability to capitalize on an improving tanker market this year, and to create enduring value for our shareholders. Oil demand has returned. Projections [technical difficulty] for refinery runs to increase by four million barrels per day, from March to July of this year. This increased pull from demand feeds our optimism for an improved tanker rate environment. Our ships are employed in top-performing commercial pools. With our significant operating leverage, we will take advantage of favorable market developments. Inventories are now at the lowest level, since 2014. And oil demand, as we mentioned, is recovering. Inventory draws have continued. Oil production is expected to increase in 2022. OPEC has affirmed their April cuts will unwind at 400,000 barrels per day. This pace should continue for the remainder of 2022, with 400,000 barrels per month. Non-OPEC United States, Canada, Brazil, and Guyana, should add supply in 2022, at about 1.7 million barrels per day. Please turn to slide four, where we summarize our momentous year. This is highlighted by substantial return to our shareholders. The completion of our transformational merger and our success optimizing the fleet is strengthening our balance sheet and our capital structure. Since becoming an independent tanker company, over five years ago, we have built a track record, executing an accretive and balanced capital allocation strategy in order to maximize value for our shareholders. In addition to purchasing ships at cyclical lows, a key component of our proven approach has been returning capital to our shareholders. And this is outlined in the first series of bullets. We're proud to have returned $58 million to shareholders, in 2021. This reflects $17 million of share repurchases in the fourth quarter, our regular quarterly dividend of $0.06, as well as the $31.5 million of special dividends that we paid in the third quarter. Combined with $37 million of returns in 2020, Seaways has returned nearly $95 million to shareholders over the last two years, amidst challenging tanker market conditions, and importantly, while maintaining a very strong balance sheet. Turning to the next series of bullets on the upper-right of the slide, we completed our merger with Diamond S in 2021 nearly doubling our net asset value and tripling our fleet size. Seaways is now the largest U.S. listed diversified tanker company. We expect to realize over $35 million in synergies in 2022. During our integration efforts, the teams did a deep dive into cost structure and historic performance, which resulted in a refinement of our estimates. These synergies represent a permanent benefit to consolidation. After the merger, we implemented a fleet optimization program. This capitalized on healthy secondhand values, and strong steel demand. This has resulted in the sale or recycling of 16 older tankers with an average age approximating 16 years. We lowered the age of our profile of our fleet to below nine years. And received aggregate net proceeds of $92 million, after all cost including debt repayment of approximately $74 million. We have bolstered our Panamax presence in our strong earning niche joint venture, Panamax International. Earlier this week, we took delivery of the Seaways Eagle; 2011 built LR1. And next week, we will deliver to the same counterparty a 2010 built MR. The Seaways Eagle will join the Panamax pool, where we have earned over $22,000 per day in the first quarter to-date. We also agreed to sell a 2004-built Panamax for recycling in February. In line with our ESG commitment to responsible recycling, all recycled vessels have been processed under our oversight and in accordance with the Hong Kong convention. Moving to the bottom left-hand column of the slide, we have maintained a strong balance sheet further positioning Seaways for long-term success. We have made significant progress enhancing our capital structure and our financial flexibility this year, including a number of attractive financing initiatives that Jeff will get into more detail on in his portion of the call. Our net loan to value of 45% is balanced with largely senior debt, some leases with purchases options, and a small fixed bond. With yearend total liquidity of approximately $340 million, we have operated effectively in challenging tanker markets. Turning to our financial results, our fourth quarter net loss was $29 million or $0.57 per share excluding merger-related cost and gains on vessel sales. Our full-year net loss was $86 million or $2.24 per share excluding the same items. In a sustained weak rate environment, we generated adjusted EBITDA of $12 million for the fourth quarter and $40 million for the year. Turning to slide five, while the situation in Russia and the Ukraine is creating tremendous volatility in energy market, we address the fundamental tanker underlying driver providing a broad overview of the current oil supply and demand balance. With the fading impact of the pandemic on global oil demand, projections indicate 2022 oil demand increasing at over 3 million barrels per day to nearly 101 million barrels per day in the end of 2022. Oil production is expected to increase to all-time highs in 2022. We anticipate boosted production in the West world as mentioned by the United States, Canada, Brazil, and Guyana contributing to this growth. While OpEx cost has fallen short of its production targets by country, compliance may be challenged in a very high oil price environment as today. Incremental production based on these dynamics is likely to be moved by sea. This increases the demand for tankers. We are closely watching the outcome of negotiations as the lifting of Iranian sanctions could increase commercial oil supply by over million barrels per day by the end of the year. And this would reduce tanker supply which we discussed in a moment. Looking at the bottom right chart, inventories have been reduced to the lowest levels in seven years providing 60 days of forward demand cover. With oil supply from Russia struggling to find buyers, western grade such as WTI and Brent are in strong demand. We are seeing U.S. crude exports to Europe and even the long hauls to the Fareast that we've been missing in the marketplace. On slide six, we turn to vessel supply. As you can see in the bottom left chart, the global fleet has grown 3.8% since the start of the pandemic. At the same time, the average age of the tanker fleet has increased to nearly 12 years on average. We continue to believe recycling has the potential to limit fleet growth particularly as we see recycled volume increase in the latter half of 2021 and into early '22. Recycling values are historic highs after adjusting for inflation. In terms of sanctions on Iranian oil, because the sanction trades are largely serviced by older vessels, we expect the removal sanctions would lead to the recycling of these assets that are trading outside the normal international markets. The overall tanker order book stands at 7% by deadweight. This is the lowest level ever relative to the size of the fleet as several factors continue to limit supply. Foremost, with reputable shipyards filled with contracts for other shipping sectors, the earliest newbuilding slots are often in late 2024 or in 2025. Secondarily, ordering has been tempered by uncertainty around future environmental regulations. And finally, newbuilding prices are near all time highs. And this has also had the effect of limiting tanker owners from ordering. I would now like to turn the call over to Jeff. And he will give us a further dive on the financial review. Jeff?
Jeff Pribor: Thanks, Lois, and good morning, everyone. Let's move directly to reviewing the fourth quarter results in more detail. Before turning to the deck, let me just quickly summarize our consolidated results. In the fourth quarter, we generated an adjusted EBITDA of $11.9 million. And net loss for the quarter was $34 million or $0.68 per diluted share compared to $116.9 million or $4.18 per diluted share in the fourth quarter of 2020. However, excluding the impact of the disposal of vessels including impairments, loss on extinguishment of debt, write-off of deferred financing cost and merger-related cost aggregating $5.1 million, the net loss would have been -- was $28.9 million or $0.57 per diluted share. Now if you turn to slide eight, this slide summarizes the year-over-year results of our business segments for the fourth quarter located in the top half of the slide and full-year at the bottom half of the page. The decrease in Q4 and last 12 months revenue and EBITDA primarily resulted from the impact of the lower average blended rates in both crude oil and product sectors. Now if you turn to slide nine, we provide a fourth quarter review and first quarter 2022 earnings update as of this point. For bookings in Q1 thus far, we booked 64% of our available spot days for VLCCs at an average of approximately $12,400 per day, 77% of our available Suezmax spot days at an average $12,800 per day, 68% of available Aframax/LR2 spot days at an average of $12,800 per day also, and 73% of available Panamax spot days at an average of approximately $22,800 per day. Turning to product side, we booked 68% of our first quarter MR spot days at an average of approximately $12,700 per day and 72% of our handysize spot days at an average of approximately $14,300 per day. I would like to add that these rates should not be construed as guidance for the full quarter with global geopolitical events evolving rapidly in the market subject to significant change in the immediate term. Turning to slide 10, the estimated cash cost TCE breakeven is for the full 12 months beginning January 1 as illustrated on this slide. International Seaways overall breakeven rate is estimated to be $70,200 per day for the next 12 months. As we always provide, these are all in daily costs that our fleet must earn to cover vessel operating costs, drydocking costs, cash G&A expense and debt service costs, which means schedule principal and interest expense. At this point, I'd also like to provide cost guidance for the year for your modeling purposes. So, this year 2022, we expect regular daily OpEx, which includes all line costs, insurance, measured fees, similar related expenses for our various classes [indiscernible], for VLCCs $9,000 per day, for Suezmax $7,600, for Aframax $8,200 per day, for Panamax $7,900, for MR $7,200, and for Handysize $7,200 per day. We expect drydock and CapEx expenses to be $41.2 million and $34.4 million respectively. These costs are related to ballast water treatment systems and other upgrades in anticipation of 2023 EEXi Synergy Efficiency requirements. For details on projected drydock CapEx and off higher days by quarter, you can refer to slide 17 in the appendix for an update. Continuing with cost guidance, we expect 2023 interest expense to be approximately $40 million to $45 million. For the year, we expect cash G&A to be in the region of $31 million. And finally, we expect about $15 million in equity income and approximately $113 million for depreciation and amortization. Now if I can ask you to turn to slide 11, we highlighted $25 million in cost synergies. We expect to realize this year in connection with our merger last year with Diamond S. At the bottom of slide, you'll see an illustration of the general administrative synergies totaling more than $20 million. This includes over $15 million in savings related to the consolidated management team and board and other public company expenses such as audit fees, $3 million dollars based on other office and administrative savings. And $2 million as a result of the determination of the capital ship management contract in connection with the merger, the remaining $500 in cost synergies are related to OpEx with $3 million of savings and technical management fees of $2 million based on consolidating insurances. These cost synergies are tangible savings to expenses that would have been incurred, the two companies were separate. There's a natural ebb and flow as the timing of these expenses, but we are very confident in saying that these will be realized in 2022. Finally, given the historical performance of tools compared with other commercial management, we believe the tools in which we now deploy our vessels with the benefit of greater scale, we generate over $10 million of revenue synergies compared to the rates earned by these vessels pre-merger. Typically, we do not recommend anyone who model INSW to add $10 million to your TCE revenues. You've likely already captured this in your TCE estimates, we are just pointing out, there is added value in the pools versus historical performance. So, this is another synergy benefit of the merger. Now let's go to slide 12 for our cash bridge. Moving from left to right, we began the fourth quarter with total cash and liquidity of $173 million. During the quarter, our adjusted EBITDA was $12 million. Equity income from JVs decreased cash by $5 million and the cash distributions from the JVs were a positive $3 million from the FFO JV. We've expanded $33 million at drydocking in CapEx, we also pay $10 million in installments on our dual fuel LNG newbuilds. The liquidity enhancements totaled $91 million, which included proceeds from vessel sales, net of debt repayments, proceeds for sale leaseback transactions that are debt repayments to pay down a swap in connection with the Sinosure facility, and voluntary payments on revolving credit facilities. I'll discuss several of these financing issues in just a minute. Finally, taking into account the $53 million of debt service, the $20 million quarterly dividend and $90 million impact of working capital and other changes, and that result is that we ended the quarter at approximately $99 million in cash and $140 million undrawn revolver yielding total $239 million at December 31. Before turning to slide 13, I'd like to briefly touch on the specifics of our fourth quarter balance sheet and liquidity enhancements. As Lois mentioned, we've implemented a fleet optimization program which yielded net proceeds of $32 million in Q4. Additionally, as discussed in our previous earnings calls, I think last earnings call we entered into a lease financing arrangement for the six VLCCs that had collateralized signature of credit facility. The proceeds of this refinancing were used to prepay a $228 million outstanding loan balance under the Sinosure facility, and therefore, increased our overall liquidity by approximately $150 million, $100 million of which was used to repay our existing revolving credit facilities. Lastly, we refinanced two MRs and two Aframax through leasebacks, three of these transactions were completed in 2021, with net proceeds at $27 million and the fourth was completed in January. Now, I'd like to turn to slide 13 to discuss our balance sheet a little more. As of December 31st, we had $2.3 billion of assets compared to $926 million of long-term debt. In addition, as mentioned, we had $140 million of revolving credit facility renamed as undrawn as of December 31. As you can see on the bottom left of the slide, our net debt to total capital stays at 46%. While our net loan to value for conventional fleet stands at 45%, the portion of our debt is fixed or hedges 37%. Since year's end, I'd like to highlight to complete the sale leaseback of a 2010 bill MR January, which increased our liquidity by approximately $6 million, it should also be noted, their final payment and the forthcoming LNG dual fuel newbuilds was paid in February. These newbuildings are now fully financed in the previously announced leased financing structure with BoComm. This finalizes the financing of our current newbuilding program for vessels that are built to better the environment and are attached a 6, 7 year earnings contract with Shell and as noted in quality financing arrangements. Turning to slide 14, we look at our debt as of 12/31, reflective of a completed merger. As you see, our total debt balance is by $1.12 billion with $140 million of undrawn revolving capacity. As we continue to maintain a healthy balance sheet, our debt reflects a highly competitive cost of capital and long-term maturity profile with the vast majority of debt due in 2024 or later. That concludes my remarks. So, I'd now like to turn the call back to Lois for her closing comments.
Lois Zabrocky: Thank you, Jeff. On slide 15, we detailed Seaways internal highlights. Seaways continues to execute our disciplined and balanced capital allocation strategy, which enables us to create significant and enduring value for our shareholders. Since our spin-off in 2016, we have transformed the company into the largest U.S. based diversified tanker company. We've been acting decisively to capitalize on attractive growth opportunities, complementing the $900 million of vessels that we purchased at cyclical lows, which was completed without issuing any equity. Our merger with Diamond S last year doubled our net asset value triple our fleet size and significantly enhanced our scale and our earnings power. Returning capital to shareholders remains a central component of our balanced approach to capital allocation and we're proud to have returned $95 million to our shareholders over the last two years in dividends and repurchases. Our commitment to upholding best-in-class ESG standards is another of Seaways key differentiators. We believe that the diversity and the independence of our board, our commitment to the environment as demonstrated by our dual-fuel VLCC newbuilding order, and our status as the first shipping company to secure sustainability linked financing, provides significant benefit to our customers, our shareholders and our lenders. We have been ranked in the top three in the weather research ESG rankings for the past four consecutive years, supporting both our ESG initiatives as well as our focus on meeting the exacting requirements of leading energy companies is our hybrid operating model focused on safety first and flexibility. At the core of this model, is an unrelenting commitment to adhering to stringent safety and environmental standards, which is made possible by Seaway's dedicated seafarers. We rely on our seafarers to ensure the safe, reliable, and efficient transportation of energy cargoes for our customers. Amidst the global pandemic, the ship's crews have done a remarkable job adhering to the highest level of not only safety, but professional standards. We're particularly proud to share that we have reached a milestone of vaccinating over 83% of our 2,500 seafarers. This is a number that we're working to increase every day. In terms of our operating model, our sector leading commercial pools, many with INSW ownership, such as Tankers International, and Panamax International Joint Venture, provide a competitive advantage to Seaways. TI is one of the largest VLCC pool operators in the world. And as a founding member, over 20 years ago, we have taken active role to expand the global competitiveness of the pool. In 2020, we established TI's New York City office in Seaways headquarters. Another hallmark of Seaways success has been our focus on maintaining balance sheet strength, we continue to take steps to enhance our balance sheet and our capital structure with one of the lowest net loan to asset values in the industry, as well as liquidity of $240 million. We're well positioned to operate in the diverse tanker environment. I'll end my remarks by briefly discussing Seaways significant upside potential to improving rate environment. As mentioned earlier on the call, we see a number of positive market developments that could translate to a stronger rate environment for us in the second-half of 2022. Based on our sizable fleet of 84 conventional tankers, we have significant operating leverage to capitalize on this. I note that every $5,000 per day improvement in the time charter equivalent daily rate provides over $150 million to incremental EBITDA or about $3 earnings per share per annum. Thank you very much. And we would now like to open it up to questions.
Operator: [Operator Instructions] We take our first question from Randy Giveans from Jefferies. Please go ahead.
Randy Giveans: Howdy, Lois and Jeff. How's it going?
Lois Zabrocky: Very good, Randy. How are you today?
Jeff Pribor: Hey, Randy.
Randy Giveans: I'm doing well. First question, just around current rates, right, we're seeing some crazy jumps in the headline average rates, but most of those are being skewed by just a couple of kind of Black Sea routes. So, are you doing any cargoes in or around Russia, Ukraine? And I guess for INSW, more specifically, what levels of rates are you booking vessels at today for your various asset classes?
Lois Zabrocky: Okay. So, let's just take the first of your questions, Randy. And since Russia invaded the Ukraine on the 24th, so for the last week, at International Seaways, we have not booked any fresh cargoes loading any Russian ports. And this is a very fluid situation. You're seeing sanctions and trading change every day. So, first and foremost at Seaways is, number one is safety, and then making sure that we're navigating the legal labyrinth out there. For sure, you have to make sure that you're able to receive payments. And we understand that there are cargoes now where the Euros are trading at, in the Black Sea, a $20 discount, and some of these cargoes are going wanting. So, we are simply monitoring this situation extremely closely with each of our pools. Of course, all of our ships are effectively working. And we have seen -- if I take it kind of from the top, we have seen an increase in VLCC rates, and you're looking at trade somewhere around $25,000 per day, on that sector. When you come down to the Suezmaxes and Aframaxes, this is where you're starting to see a much broader differentiation between those that are potentially trading in the Black Sea, and those that are not, but even on non-Russian cargo trade -- Derek, what would you say, I'm going to have Derek Solon, our Chief Commercial Officer to share a little bit of what you're seeing, and one thing Randy, I just wanted, you know, before Derek jumps in there and shares, we're seeing this change on a daily basis, and realize that, some of the high levels that you see it's very thin trading. So, I think it's just very important to keep in mind that they're highly changeable situation. Derek?
Derek Solon: Thanks, Lois. So, Randy, can you hear me?
Randy Giveans: Yes, I can.
Lois Zabrocky: Okay, go ahead.
Derek Solon: Thanks, Randy. So, yes, I mean as Lois touched on, I think the uncertainty in the market, the risk in the market, because of the Russian aggression in Ukraine, has led to all the markets coming up from their low levels from prior to the invasion. Like Lois said, fixtures out of Russia have seen the real, real toppy rates, kind of these headline grabbing rates. But even on the back of that, like Lois said, the VLCCs have come up to around $25,000 a day, the Aframax is in and around the Mediterranean are earning a lot more money today, right, $30,000, $40,000, and that's impacted the Afra sector across the board. Same with the Suezmax sector, right, that's coming up at that sort of pull of that, that Russian risk has, even though the West African markets coming up to around $20,000, $30,000 a day, whereas before, we were fixing kind of four-digit numbers. So, this is kind of giving a lift to all [ships and doing] [Ph] the clean side.
Randy Giveans: Okay.
Lois Zabrocky: Does that give you some clarity?
Randy Giveans: Yes. So, we're definitely seeing some strengthening, which is understandable. But clearly, we can't just use -- Oh, average Suezmax at 80, well, that's because Black Sea is 200, so, of course, the rest of the world is going to look more elevated. Okay. That's fair. And then I guess, following up on that, just the bigger picture question. In terms of disruptions from Russia, Ukraine, clearly, you said yourself have not loaded any cargoes in and around that region for the last a week or so, any thoughts on potential implications, if this conflict persists, right, for weeks, if not months, what would be the kind of impacts to the tanker trade in your view?
Lois Zabrocky: I think we're starting to see it. WTI had been discounted to Brent, like $4 or $5 per barrel, which was kind of a reestablishing of that. And now you see that blowout, you see Brent this morning at $113, and WTI at $112. So, I think you start to see demand for Western-based barrels, just really spiking. And it's going to up, and trading patterns were -- we like in the U.S., if we can come along with another million barrels a day this year, and let's say that, this looks something like 300,000 barrels a day per quarter, where those barrels go, and I think you're going to see Europe fighting for them. And we've also seen the reemergence of some of these longer haul trades, which had really been missing from the market for some time. So, you start to put in efficiency into the marketplace. And all the crude trading and the product trading is a bit up ended, and you start to see trades reemerge, that haven't been there for some time. So, we look at it that, I do believe it can strain the oil supply, but at the same time, it incentivizes everybody in non-OPEC, and even -- you know, this, Saudis OPEC+ came out and said they're going to do their 400,000 barrels per day, I do believe there will be pressure to increase those volumes.
Randy Giveans: Yes. All right, that's fair. And then, yes, I certainly don't want to make this call about Russia. So, to finish on a more positive note, your balance sheet is in great shape, it keeps getting better. I guess, what is the plan for some incremental liquidity either from additional vessel sales, or what is now and should be profitable rates in the coming quarters? I know, you mentioned debt repayments, so that's a priority, and then obviously, great to see the ongoing share repurchases. Is that also likely to continue as your share price clearly remains undervalued here?
Lois Zabrocky: Yes. So, for sure, returning capital to shareholders remains a priority, Randy. I definitely -- you know, we're having the constant conversations around looking at the fleet, and when you start to tip into a market that has the type of volatility that we're seeing right now, these turn into real cash earners in the fleet. So, we will very carefully -- we still continue to look at pruning vessels, but now the scales may tip the other way, where you're really making a lot of cash on these ships. So, I would say that from both the priority of return of capital to shareholders, as well as the vessels, and then I would turn to Jeff to see if you want to add any other comments.
Jeff Pribor: No, I just underscore what Randy mentioned to you. And you just said we did a tremendous job expanding the fleet last year. So, we aim to do including the merger with Diamond S to fuel newbuilds, so we feel really good about how we have allocated enough capital to the fleet growth that's at the bottom of the cycle. Not to say there's not the occasional really attractive deal to come up, but the priority is going to be debt repayment, as you said, that's kind of taken care of in our schedule, amortization profile, and then returning cash to shareholders. At this point, there's nothing more accretive that we could do that's been buying shares. So, that remains a very high priority.
Randy Giveans: Great, yes, I would agree. And I'll conclude my interview there, sorry for all the questions. Thank you.
Jeff Pribor: Thanks, Randy.
Operator: We'll take our next question from Omar Nokta from Clarksons Securities. Please go ahead.
Omar Nokta: Thank you. Hi, guys. I thought Randy asked a pretty good series of questions covering everything. But I appreciate that comment. Yes, I'll go back to the queue. But I did maybe just a couple follow-ups. Maybe first, clearly, we've seen, as you mentioned, lowest rates of spikes here over the past several trading days. But your performance at least thus far into the quarter from your slide on the LR1 to the Panamax is 22,800 is pretty substantial. What was driving that that led to such a big increase in earnings power there?
Lois Zabrocky: That sector, Panamax International Joint Venture, as you know, is something of a differentiator for us. I mean, that's why we're particularly proud of picking up this opportunistically, the Seaways, Eagle, and then flipping out in MR of one year older, and we also picked up over the course of Q4, Q3, Q4, three time charter ins to really kind of bolster our position in that fleet. Those vessels tend to trade a lot of fuel oil, as well DTP in North and South America. And that particularly trade, the Caribbean was probably the stronger basin, to what you've seen on the bigger sister ships, the Vs and the Suezmaxes were under more pressure. And I think the Caribbean performed better in the first quarter, and Ecuador has come back on with more barrels in January, where they had been kind of affected negatively on their volumes in Q4.
Jeff Pribor: Any Ecuadorian barrels are staying closer, staying within the hemisphere, as opposed to going increasingly on bigger ships, Trans-Pacific, so that's helped the Panamax now.
Omar Nokta: Thank you. Thanks for that and the different topic Randy, asked this. Just about the liquidity clearly, you've tapped into a bunch of different new sources of capital and that the big sale leaseback on the VLCCs has unlocked a lot of cash, I guess, how do you feel, I guess at this point, clearly, you're in a much healthier and stronger position, I mean you have generally been in a good position but now even more so, and with earnings now coming up, potentially even stronger liquidity. But do you feel there's more to do on unlocking liquidity/doing more debt refinance? And then, the second, I guess, would be related to that is any thoughts about the FSO joint venture, any discussions there? I know it's brought up quarterly almost, but that with that contract starting up soon, that 10-year contract starting up soon, any securitization of that revenue stream on the horizon?
Lois Zabrocky: So, before Jeff jumps in there to answer that, I would start with, we noted it on the call, and the remaining CapEx payments or newbuilding payments on the three VLCCs are fully funded at this juncture. So, I think that's one thing we have no unfunded newbuilding payments on our horizon. So, that's one thing that just one of the things the team did in 2021 to really kind of set us up for 2022. And then I'll turn to Jeff to answer the question about, is there more to be done on debt and refinancing? Go ahead.
Jeff Pribor: Yes, sure. Well, just to give you a little window, on the way things work, I mean, what we did is immediately post-merger, like July of last year is to say, what we selected a program of financings and refinancings that would add the dual benefit of diversifying our sources of financing, which is important because as great as our banks are, and we really appreciate the support for an additional shipping banks, we know you have to source more financings from these to build relationships there and it also enhanced all liquidity when we, just another those financing at a higher loan to value. So, we had, we picked it probably, we selected a program and we basically executed the program. So, we've got two, I think small transactions and smaller ships that sort of remain. They'll probably have the announced in the next quarterly call, but if that's sort of the completion of the program MR, so it doesn't mean we're not always looking at thinking as or something else. Or we certainly can look at optimizing our balance sheet, whether that's the secure log. So, as we have, there's always things that can be done. Just to make things a little better. But basically, we put in place a program and we execute the program. So, I think we're pretty satisfied with where we find ourselves now. And on the FSL, I'll say is this the same as last quarter, and the quarter for that is that it's under a close evaluation with our partner and it's a very good asset that gives very good cash flow to us and our partner, but if we can find an appropriate monetization, that, that will benefit our shareholders and fully flex the correct value. We expect to do that, but I can't tell you more than just it continues to be a priority of our [indiscernible] along with our partner. So, stay tuned.
Omar Nokta: Thanks, Jeff. Okay, we'll stay tuned. Thanks, Jeff. I appreciate the color there, and thanks, Lois. I'll turn it over.
Lois Zabrocky: Thank you.
Operator: We have a question from Ben Nolan from Stifel. Please go ahead Ben.
Ben Nolan: Hi, Jeff and Lois. You guys, the releases are very helpful, sort of highlighting a year into -- close to a year into the Diamond S transaction, with the effective synergy [indiscernible] real money is going out. My thesis into the deal was very constructive on it and thought that hey, more liquidity, more free flow. It was really going to help close the gap from relative basis with respect to your peers. So, far, that hasn't really helping at least as much as I thought it would have. I don't know if you can take it Monday morning quarterback and look at this and say okay, well it did not happen yet. Or how are you thinking about sort of that, that thesis now that we're a year into the transaction.
Lois Zabrocky: So, Ben I think that, I would go with that. It's starting to happen, and the market is starting to happen. So, I think that once the tanker market heads into recovery, everybody, investors take a much closer look, and then start to differentiate and get interested in a tanker stock. So, I think that we are just starting to see those types of benefits that will come through in 2022.
Jeff Pribor: Absolutely, Lois, and just would say this way, then take a look at the average daily trading volume. That's step one, it was in the 300,000 shares a day level more or less pre-merger is over 500,000, depending how you measure it.
Lois Zabrocky: Yes, yesterday it was a million.
Jeff Pribor: Well, yes, okay.
Lois Zabrocky: [Multiple Speakers]
Jeff Pribor: But I'm talking not just the last couple days, but that's like 30-day average. So, that comes up in my ass. So, that's step one. There is more liquidity in the stock and then I've always said this as well, we've just said, you don't get a rewriting your stock typically at the bottom of the market, you know, so what we would expect, and then I based on this, doing this for a lot of years, what I would what I would say to expect is that when all the stocks move significantly, a stock like ours that is substantially more highly discounted than, in our opinion, luckily you're saying the same. Thank you. We'll move -- we will logically move forward, but it's easier to get that rewriting that that closer move to in this case because that's going to happen more easily when everybody's moving. That could well be the case pretty soon. So, which type of [indiscernible] that I think the thesis is we're still we're still bullish on the merger and the benefits of the merger and one patient.
Ben Nolan: All right. Well, I mean, clearly, from a profitability standpoint. There are benefits [indiscernible] recognize, and then I get it. Let's say, I think you guys both make good points there. Switching gears a little bit, my second question, is just something that occurred to me, we were talking about earlier Lois you are recycling the Panamax have done a number of those already. Although, are effectively overseeing the process yourself, the sound of it which making sure that all of the environmental restrictions and regulations and everything are done as they should be. Just out of curiosity, is there a big monetary gap between doing that and then sort of doing it? May be less scrupulous way? Of just telling it to somebody who maybe doesn't follow those same standards?
Lois Zabrocky: Ben, the yards that are Hong Kong compliant are all in India. And that is where we have been selling the vessels, there is a differential it is $50 per ton probably, may be a little bit more than that. And we think that's well worthwhile to make sure that the hazardous materials are being taken care of properly and disposed of with the quality vendors, and that there's a floor underneath these guys when they're working and disassembling the vessels right. So, for that, we think that actually the Hong Kong convention is driving actual change in safety on the ground and increased certifications to actually improve the conditions of the recycling of these vessels.
Ben Nolan: I agree. Thank you guys then. I agree, it's well worth it. I mean, literally saving people's lives. So, but just didn't know how that's putting some context to that. It's helpful. I appreciate it.
Lois Zabrocky: Yes, yes.
Ben Nolan: That's it for my question. So, thanks a lot, guys.
Lois Zabrocky: Thank you, Ben.
Jeff Pribor: Thanks, Ben.
Operator: The next question comes from Magnus Fyhr from H.C. Wainwright. Please go ahead.
Magnus Fyhr: Yes, good morning, Lois and Jeff. Just a couple of questions, the vessel OpEx jumped in the fourth quarter. I know you had a very busy drydocking quarter. Can you provide some breakdown on what was capitalized versus expense? I know you had laid out the drydock and expense versus the CapEx?
Lois Zabrocky: Yes, you're clearly Magnus you're looking at the appendix and indeed in the fourth quarter, it was a very heavy drydocking and ballast water installation period. And you'll notice we've given you the also 2022 where in this -- what had been -- very low rate environment in Q1 and into Q2, that's where we have our heavy drydock in CapEx. As far as what is actually capitalized. I think I might have to have Jeff take that on an offline to give you an exact breakdown of that unless you're able to do that to bring.
Jeff Pribor: Well, I mean, we have a certain amount that all drydock and CapEx are capitalized that's that part of CapEx, so before you break them out, and then later depreciate it, but so there was no change. I think Lois -- 
Lois Zabrocky: Ballast water is capitalized over the remaining life.
Jeff Pribor: Exactly. So, I think all you're seeing is just a heavy CapEx period in Q4 and there were some expenses in the quarter that you get on a quarter-by-quarter basis, sometimes. I hope a little variation in expenses, but I don't think anything is systemic Magnus.
Magnus Fyhr: Yes, right. Now, I just wanted on the OpEx, should we just assume that the difference there was mostly drydocking or the jump in OpEx? I mean, you provided guidance for 2022, which was significantly lower than the OpEx in the quarter.
Lois Zabrocky: Absolutely, we're going to hear from Bill Nugent.
Bill Nugent: Yes, there are some of the spares that we consume during the drydock periods, our practice has been to include those in OpEx and I think with the number of dockings that we saw in the ships coming into the fleet you'll see a popping OpEx as we get some of the practices and policies between the two organizations as we merge cleaned up, right, so you'll see a little bit of a jump there. I really think that's where the OpEx pop came from, but it's short-term.
Magnus Fyhr: All right. And you laid out the 2022 drydocking schedule, they also painted pretty bullish picture of the market, I guess the 3Q drydockings, how do you feel about them, and also how you think about the seasonality this year playing out as far as the market recovery? I know there's a lot of moving parts, but what's going on now, but just get your thoughts on that.
Lois Zabrocky: Yes, lots of moving parts on the market recovery, but I think the number that I gave there of refinery runs increasing by four million barrels a day from March to July, I think is really tells the story where this is a year where you're just seeing the demand increasing. That was the number that came from right our projection. And I think that's just very significant where you are just seeing that demand pull coming. So, you had your seasonality, and you're in a year where demand is increasing each quarter. And I think that is what is going to really drive the tanker market recovery. I guess that's kind of where I would leave that.
Magnus Fyhr: All right. And just last question, follow-up on that, you've been very busy with your fleet optimization program. And I guess are you pretty, it sounds like you're pretty happy with the fleet. Now you have significant operating leverage through the vessels that you have working in the spot market, any thoughts on chartering in vessels or do you think you're pretty happy with the operating leverage that you currently have?
Lois Zabrocky: I mean, we like to opportunistically bring in vessels into the fleet. And that's where we really did that is where you saw us dispose of those older Panamaxes. We load to see them go. And then we were happy to bring in three time charters as well as purchase that Seaways Eagle right. So, really just kind of filling back in there in that pool and a place where we have high confidence that we're going to have differentiated earnings.
Magnus Fyhr: And just one last question, if I may, on the merger, you're more than half a year into it, and what's your most positive surprise, the negative over the last six months? And where do you think you can improve on that?
Lois Zabrocky: I think our most positive I wouldn't say a surprise, but just really pleasurable is integrating the teams and to see the high level of quality from the commercial, operational, Investor Relations, all across the finance space, and just really accounting, I mean bringing these teams together and knock on wood External Auditor said, the smoothness of this merger they have not seen in their career, which is a multi-decade. So, that just really pleases us very much. I think negative surprises. I mean, there's always things that end up being more challenging or it's hard work, it's hard work is I would that's what I would say, it's hard work. That doesn't surprise us in and we kind of like hard work, so that works for us.
Jeff Pribor: You know what is great is we're here at the office. We're in New York, all our offices opened up and expanded basis including what we call Legacy Seaways, people and Legacy Diamond S employees here, right together, literally for the first day. And it's just super, it's just really, really good to see the fruits of this integration, bringing people together under one roof here in New York, so we're really pumped.
Magnus Fyhr: All right, great. That's all I had. Thank you.
Lois Zabrocky: Thank you.
Jeff Pribor: Thanks.
Operator: The next question comes from Liam Burke from B. Riley. Please go ahead, Liam.
Liam Burke: Thank you. Good morning, Lois. Good morning, Jeff. Lois, understanding there are lots of moving parts as we stage first quarter through this for the second-half of 2022. In terms of your fleet, do you see any more need for any kind of adjustments in the fleet as you see the recovery in the second-half of '22?
Jeff Pribor: Let me pick that, Liam. Really, no; we feel really good about the fleet as it's come together across the various sectors. We have strength in large crude; VLs and Suez are pretty interchangeable commercially. So, we have a strong position there. Obviously, we have a very strong position in MRs now with the legacy Diamond S fleet. And the niche LR1 Panamax fleet that we discussed on call. We feel really good about it. So, I think that -- and most notably the augmentation we will have on the LNG dual fuel newbuilds that are coming basically year from now, but it's going to be soon. So, we feel it doesn't mean we won't find other moves to make. We are always looking, always open. But, we feel that we've put ourselves in pretty good position to take advantage of this tanker recovery and rally that's coming.
Liam Burke: Just to touch on that, Jeff, I mean you talked pretty specifically about your capital allocation. But when you are talking about you can make the moves if you see them, what do you see out there? I mean are there potential opportunities?
Jeff Pribor: Look, there is always something so that's why we are always looking. But, I would note that vessel asset values are significantly higher now than they were a year ago, that's why it was important to make the moves that we made and when we did. The cost of the dual fuel LNGs, for example, was $96 million each. That today would be 15% higher. So, that's the challenge in looking at other asset today is you going to have to really scratch to find the kind of return that we found by doing this earlier. That said, you get the opportunities like the one where the lowest part of the Eagle that's going to into that Panamax International pool, the returns cancel out for that one, especially being able to do a swap where we take one in and send one out at the same time. That's particularly creative transaction we think, but by and large, we will evaluate -- I mean the calls come in. Derek is very busy [indiscernible] call. There is always something to evaluate, but we are pretty happy with where we are.
Liam Burke: Great. Thanks, Jeff.
Jeff Pribor: Thanks, Liam.
Operator: We have no further questions. I'll hand it back to our speaker team for any closing remarks.
Jeff Pribor: We'll just say thank you very much for being with us here on our first day back in the office. And we look forward to speaking with you the analysts and investors and potential investors in the quarter and the years to go forward. Thank you very much, Operator.
Operator: Thank you for joining. This now concludes today's call. Please disconnect your lines.